Operator: Good day. My name is Jess, and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies Fourth Quarter and Full-Year 2024 Earnings Conference Call. During the opening remarks, all participants’ will be in a listen-only mode. Following the opening remarks we will conduct a question-and-answer session. As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Senior Director of Investor Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's fourth quarter and full-year 2024 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our fourth quarter and full-year 2024 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company's website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. Q4 and the start of 2025 have been an incredible period of momentum in our business and I'm excited to update our investors and stakeholders. I think it's appropriate, though, to set back and frame how we got here. When we laid out our vision for Aeva and building a market-leading perception and testing company nearly eight years ago, we knew it was not going to be easy and the path we were taking with FMCW, would ultimately build the platform for the future, but it would take time. Importantly, we built a strong team understood the challenging engineering problems to overcome algorithms and software necessary to build the hardware semiconductors and silicon photonics to be developed, and iterations required to bring multiple generations of a powerful product to market. If successful, we would have the building blocks required to enable both breakthrough long-range perception and micron level precision for broad applications and perception. Richer data sets, faster progressing, everything aligned and scalable architecture and protected by a massive wall of significant IP. We knew that this product vision was the only way to unlock the potential promise of autonomy and the other next-generation capabilities for our customers across automotive, industrial robotics and other applications. Our team was constantly faced with challenges to overcome along the way and needed an intense drive to deliver on our ambitious goals. I am proud of how we have pulled together time and again to deliver our first commercial product, Aeries II, in 2022, followed by our first integrated basic product, Atlas beginning of last year. These were breakthrough milestones in the LiDAR space as the promise of FMCW/LiDAR was finally being delivered. These products enabled our historic series production win at Daimler Truck, one of the largest commercial vehicle manufacturers globally. We didn't stop there, however, as we have continued to push into a smaller form factor launched a next-generation ASIC and have increased the resolution of our market-leading Atlas Ultra product line targeting passenger vehicles. Our Atlas Ultra product has now enabled us to bring the power of our platform to the passenger vehicle market had enabled us to be awarded a joint development program from a global top 10 passenger OEM. This award opens up a new market for our products and signals the confidence large global OEMs have in our technology and future. The joint development program is focused on taking our market-leading Atlas Ultra product and fine-tuning it to fit within their specific vehicles and package it for use in their stack. The engineering work and milestones for this program are well defined, and the team is laser-focused on delivering where we have confidence in our success. The objectives of this program are clear and on success enable us to be included as the LiDAR future and the global OEMs model lineup globally and for geographies outside of China. We expect to complete this program later this year where we expect this transition to a large-scale production award and launch the largest opportunities in the industry and delivering a next-generation technology to our customers' vehicle platform. In summary, 2024 was a year of strong commercial momentum at Aeva, and we expect to double down on this momentum in 2025. Let's now discuss in more detail our recent business developments. We are excited to be selected by a global top 10 passenger OEM for our LiDAR development program for its next-generation global production vehicle platform where we will jointly work on development, packaging and integration of Aeva's Atlas Ultra 4D LiDAR for use across the OEM's global line of passenger vehicles. Over the course of last year, we have discussed our advancements with this OEM, including being down-selected to the final stages of the RFQ. Now this development program win represents a key milestone in our ongoing collaboration and it is effectively the first development phase of the series production program and is focused on the joint B-sample development and packaging of our Atlas Ultra product for use across the OEMs broad lineup of vehicle models. This OEM has a long history of using time-of-flight 3D LiDAR. However, through extensive evaluation and real-world testing of Aeva 4D LiDAR, including instant velocity, immediately to interference and other advantages over time of flight, the OEM has found that our technology is better able to address a number of key use cases needed for the OEM to successfully expand its operating design domain at higher speed and scale to higher levels of automation across its vehicle line and more markets. As such, they are moving to FMCW technology in order to future-proof their solution for the next-generation vehicles. Importantly, separate in addition to this program, we have also secured a letter of intent from this passenger OEM toward the Series Production Program award decision and we expect that to transition to a large-scale global production program opportunity for Aeva later this year. This OEM is a leader in commercializing new technology at scale in the passenger vehicle space. With the annual vehicle volumes in the millions and the potential to be the primary future across geographies outside of China, we believe the opportunity for the serious production program upon conversion from this development phase is expected to be massive and likely one of the largest in the automotive industry, which could cement our position as a market-leading company globally. We're excited to be awarded this development program with this OEM and our planning for Atlas Ultra start-up production starting in 2027. Beyond this top 10 OEM win, we are seeing increased momentum for our funnel with other global passenger and commercial vehicle OEMs that are advancing towards FMCW technology for their vehicle platforms. Specifically, we are increasing our joint activities with other passenger OEMs, including another top 10 passenger OEM through the RFQ process and two other commercial vehicle OEM opportunities with significant volume potential based on our Atlas and Atlas Ultra platforms and with targeted SOPs between 2027 to 2029. More broadly, interest to leverage FMCW technology is rising across the industry as is decisions incorporating geographic integrations. We believe Aeva is in a strong position with our product and cost competitive solutions. Moving now to update for Daimler Truck on the production program. We are progressing well with Daimler Truck having delivered on all of Aeva's milestones for the program in 2024. As the exclusive long-range and ultra-long-range LiDAR supplier for the OEM's autonomous truck production program, Aeva 4D LiDAR is the primary detection sensor, and we have been working closely with Daimler Truck and a subsidiary torque to achieve their key milestones towards a safe and scalable commercialization of autonomous trucks. I'm happy to share that this relationship continues to deepen in 2025. We recently expanded our collaboration with torque to include sharing of sensing data and a freightliner vehicle platform. This will enable even closer collaboration between our teams as we work together on advancing the safety architecture for autonomous trucks and enabling torques virtual driver software to make safer and more intelligent decisions. So in short, Aeva remains on track for start of production in 2026 to support Daimler Truck's market entry by 2027. Turning now to the latest development around Aeva's products. We unveiled Atlas Ultra at CES this past January. This is our newest and most powerful automotive grade 4D LiDAR that is designed to meet OEM requirements for Level 3 and higher speed applications. Compared to our Atlas product, Atlas Ultra offers 3 times the resolutions and the capability for a wider field of view all in 35% slimmer packaging, which opens up even more integration options with minimal impact on vehicle styling and aerodynamics. Like other Aeva LiDAR products, Atlas Ultra leverages our proprietary LiDAR on chip architecture, which integrates all optical components, including transmitter detector and lenders onto a silicon photonics module. This, along with no use of fiber or exotic materials allows us for a highly automated manufacturing process and ability to mass produce at affordable cost. Atlas Ultra also utilizes our custom Aeva X1 SoC or system-on-chip processor, which enables seamless integration of data acquisition, point cloud processing, scanning and application software into a single mixed-signal processing chip. Our X1 SoC also powers Aeva's advanced perception algorithms that leverage per point velocity data for object detection and semantic segmentation. We are already working on integrating Atlas Ultra with key partners such as the global top 10 passenger OEM and plan for additional availability to automotive customers later this year. At CES, we also showcased the industry's first functional behind windshield integration of an FMCW LiDAR in collaboration with an automotive partner. This enables a high LiDAR positioning for optimal long-range detection with seamless integration, minimizing impact to vehicle design and aerodynamics. The in-cab integration is enabled by our FMCW LiDAR on chips, small form factor, low power consumption and passive cooling, which helped maintain good visibility and passenger comfort. Our operational demonstration vehicle utilizes a co-developed custom formulary glass from Wideye by AGC that is compatible with Aeva's unique FMCW wavelength to maintain long range detection and point cloud quality. Feedback from leading OEMs following real-world on-road demonstrations have been very positive and has already have led to deeper engagements. Switching now to industrial development, where we are growing rapidly with major applications of our products with industry leaders such as Nikon and SICK AG for the $10 billion plus market opportunity in industrial robotics and factory automation. This is possible now in 2025 because of the completion and our core technology components including our core vision LiDAR on-chip module and XO1 SoC for industrial applications. In particular, late last year, we partnered with SICK AG to incorporate Aeva's FMCW technology into its portfolio of high-precision contactless sensor solutions. As mentioned, SICK is one of the top leaders in sensor solutions with revenues of nearly $3 billion annually. Specifically though, in the multibillion-dollar market of high accuracy displacement sensors, SICK sells more than 250,000 sensors a year which are used across a broad range of industrial robotics and factory automation applications. Aeva's sensors brings a number of major performance side and cost advantages versus current solutions such as more reliable micron level precision across many operating conditions or the ability to measure both short and long standoff businesses with the same small sensor. And because of Aeva's ability to directly measure velocity, we believe our technology would open up new capabilities that bring the possibility to expand the use of Aeva's sensors across industrial precision market. Having now substantially completed our validation with SICK, we're now moving to commercial deployments beginning in Q3 of this year. Turning now to our key objectives. I would like to first provide a quick recap of our 2024 goals before sharing more about our 2025 objectives. We set challenging objectives for 2024 and I am proud to say that we have achieved essentially all of them. With regards to the goal for two additional production wins, we secured an industrial win with The Indoor Lab and a global top 10 passenger OEM development program. Our other goals from maturing our production product to finalizing our supply chain and exceeding our financial metric targets with over 100% revenue growth were all successfully achieved. Looking to 2025, we expect the work accomplished last year will enable Aeva to build on our momentum this year. Our focus is on further driving the adoption and commercialization of FMCW technology, while continuing to maintain strong financial discipline. Specifically, we target winning two additional programs in 2025 beyond the top 10 passenger OEM. Second, we are on schedule to complete and release the C sample of our Atlas product to key customers this year. This key milestone will keep us on track for our 2026 starter production with Daimler Truck. Third, we are working to expand substantially in industrial robotics and factory automation. For Aeva's unique FMCW technology has the potential to transform the industry. We are seeing significant interest from some of the global leaders in the space with potential for materially higher deployments to the tune of at least 1,000% for Aeva in 2025. Fourth, we plan to complete our automated and automotive qualified production line with capacity for 100,000-plus units annually. This critical step will not only better position Aeva to meet the increasing near-term interest for our 4D LiDAR, but also our upcoming commercial deployments. And fifth, we aim to achieve these objectives with a strong focus on financial growth this year. As Saurabh will discuss later on, we believe we have the ability to achieve record revenues for the company this year with approximately 70% to 100% year-over-year growth in 2025. At the same time, we expect to reduce our operating expenses this year by approximately 10% to 20% year-over-year. In summary, Aeva is working on multiple significant commercial opportunities in 2025. And with our unique 4D LiDAR, the strong team and liquidity position, we believe we are in a good position to execute on our objectives and capitalize on the growing momentum around FMCW. With that, let me turn the call over to Saurabh to discuss the financials.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. I would now like to discuss Aeva's full year 2024 financial results. Revenue for the year 2024 was $9.1 million, representing growing sensor shipments to automotive and industrial customers, including for the Daimler Truck program. Full year non-GAAP operating loss was $123.2 million, consistent with our plan to keep it flat from the prior year. 2024, gross cash use was $112 million, which comprises of operating cash use of $106.9 million and capital expenditures of $5.1 million. Aeva ended the year with total available liquidity of $237 million, which includes $112 million in cash, cash equivalents and marketable securities and $125 million in undrawn facility. This facility has conditions to drop that are fully met and can be drawn at management sole discretion. We believe Aeva's total liquidity positions us to continue executing on our existing production programs, as well as securing additional wins. And as more industries look to FMCW technology, Aeva is in a unique position to drive this adoption. We will continue to be strategic in how we invest and believe we can simultaneously scale manufacturing to support increasing deployments and pursue new business, while also lowering total spend. Turning to our financial outlook for the full-year 2025. We target growing our revenues to be in the range of $15 million to $18 million this year, which is an increase of approximately 70% to 100% year-over-year in 2025 and continues on a similar strong 100% plus year-over-year revenue growth trajectory that we achieved in 2024. The higher revenue is expected to be driven by the ongoing scaling of product shipments to automotive and industrial customers. Revenues are expected to be back-end loaded in the year. As we mentioned earlier, we see opportunity to reduce our spend in this year 2025. This is due to completion of certain major engineering activities and our overall maturing the commercialization of our products. As such, we are targeting non-GAAP operating expenses, which excludes stock-based compensation and other potential non-recurring charges to be in the range of $95 million to $105 million, a reduction of approximately 10% to 20% on a year-over-year basis. We are at a very exciting time in the company's journey as we begin to scale deployments and meet the growing interest for our 4D LiDAR technology. we believe our available liquidity enables us to execute on our plan. With that, let me turn the call back to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. 2024 was a transformational year at Aeva beginning with our major production program award from Daimler Truck to multiple industrial wins and the start of commercial deployments, Aeva's taking a leadership position in driving the growing adoption of FMCW LiDAR across a broad range of applications. I would like to thank the Aeva team for their immense work that they continue to do in realizing these accomplishments. Looking forward, I am really excited about what lies ahead for our company in this year. We are uniquely positioned to execute given the maturity of our 4D LiDAR technology and the company's financial position. With our first top 10 passenger OEM program and other auto and industrial opportunities, the number and depth of our engagements have never been stronger, and we believe that Aeva is on the path to emerge as a leader in our market. With that, we will now open the line up for questions.
Operator: Thank you. [Operator Instructions] We will go first to Colin Rusch with Oppenheimer & Company.
Colin Rusch: Thanks so much, guys, and congratulations on all the progress. With the industrial applications clearly, there are a myriad number of them, and they're fairly sizable, can you talk a little bit about initial targets outside of metrology, if there are any, and what the cycle time is? And in terms of design wins and when we might start to see some revenue off of those wins. And I guess, since you're doing one question, the secondary piece would be if you could give us an update on manufacturing progress from here?
Soroush Salehian: Yes, Colin. Happy to answer that. This is Soroush speaking. So as you pointed out, we are actually beyond automotive, which was a big update today. We are really excited about the opportunity that's ahead of us for robotics, especially and also the factory automation space. So in that space, as we have talked about, across our products, as I mentioned at the beginning of the call, we've spent the past number of years laying the foundation for creating the products and a platform, the perception platform, including our key core technology pieces with our two silicon chips, right? So the optical core vision as well as the X1 SoC. And with that, we've been able to actually put this product together in a way that can be applied to automotive and industrial applications. Now that these are substantially complete, this is the year that we are really excited about that we're starting to actually increase those sales and be able to actually commercially deploy those across the markets. So within the industrial sector, just to give you an idea, these applications, the industrial automation, robotics and factory automation, we see an opportunity just for the sensing supplier on similar to us to be in the $10 billion-plus market per year opportunity. Now obviously, SICK is one of the leading players in this space. Nikon is another in the metrology space. So we are working across with these players and others to start to deploy our first kind of industrial precision products. And for this, the opportunity is quite massive. SICK by itself does about $3 billion of sales annually. That's in the multiple millions of sensors. But if you kind of peel the onion and look at what is actually actionable and marketable for our specific sensor set in the kind of high accuracy or precision displacement sensing as SICK itself does about 200,000 or 300,000 units per year, right? So right there is where we see a critical opportunity for Aeva. And so this market, because it is already in existence, it is one that is ripe for disruption, it is one that is really exciting for us. So we have a part of SICK to actually transition their portfolio of sensors from other types of technologies such as [Indiscernible] LiDAR or others, more and more towards FMCW-based sensors as it relates to high accuracy and displacement sensing. And so we see that as quite a large opportunity, and we have talked about that on this call as well which -- in which we are planning to actually increase our industrial segment, sensor shipments by nearly about 10 times or 1,000% this year. So that's just to give you an idea of kind of the scale that we're going after, and we think this is just the beginning. We think the run rate and the opportunity for this if we're able to execute on the next couple of years could be quite massive, providing us opportunity potentially of in the $100-plus million type range per year of business, so that is a very exciting thing for us. And the reason that I think I would say we are seeing traction in this area. This is not the same as maybe others in the space when they talked about LiDAR for industrial. This is something that's quite different. The unique advantages for Aeva there is really around accuracy micron level precision in a noncontact way at kind of long standout businesses. And that's something that's really time of flight or 3D LiDAR is not even in the business of doing so. And that's why we are excited about it. So I hope that answers your question.
Colin Rusch: Thanks. And can you just address the manufacturing question for a second, just in terms of your progress in manufacturability and preparation to ramp, because you start to see some of these opportunities materialize.
Soroush Salehian: Yes, absolutely. So as you pointed out, we have been focused heavily on increasing manufacturing capacity, obviously, is important for us to be able to meet the growing demand of our products to hit these targets that I mentioned, the 1,000% for the industrial sensor. So one of our goals this year actually is to install and complete our manufacturing production line with a capacity of 100,000 units per year. And as you may recall from last year, we set a goal to really secure our final assembly, manufacturing, as well as make a dedicated manufacturing line of Fabrinet for our core module. So all those, as I mentioned on the call, are done now, we're now can into the next year to really start being able to have the manufacturing capacity that is a much higher scale and then be able to satisfy the demand that we're seeing from the various markets across the whole industrials.
Colin Rusch: Thanks so much guys.
Operator: [Operator Instructions] We will go next to Suji Desilva with Roth Capital.
Suji Desilva: Hi, Soroush and Saurabh congrats on all the progress here. Taking into consideration your comments about OpEx being able to bring it down some of the product after maturing. I'm wondering if also that applies maybe to some of these large programs like the Daimler Truck program. Could you characterize the '25 kind of effort left and versus maybe '24, perhaps was the heavy lift and there's less risk in what's left between now and program start '26, '27 or whether there's still some significant milestones and challenges remaining?
Soroush Salehian: Yes. Hey Suji, this is Soroush. Happy to answer that. So obviously, as you mentioned, we have substantially completed a significant chunk of the efforts as it relates to our first launch of our product for Atlas. This is the year in which we're working on releasing a final C sample which is the, I would say, key milestones for us to be able to commercially deploy this at scale. There's no coincidence that we're actually -- if you go back and look at it, pulling forward the installation of our manufacturing line capacity from '26 to '25, including to be able to give that to 100,000 units per year is because of the growing demand that we're seeing across automotive, industrial. So with Daimler Truck, we have delivered on every milestone either on time or ahead of time last year. I think we have had a really successful partnership with production since when we announced this at the beginning of last year, and we continue to do so as we go forward. So majority of the development work is complete. A good chunk of the manufacturing line installation is done. We're now increasing that, making a full automated line for our final assembly and being able to hit these types of numbers that we're talking about. So as that relates to our spend, it's obvious and goes without saying, this is the year that we are looking to set out record revenues for the company. As I mentioned, 70% to 100% year-over-year. We're not just making this out of thin air. We have set those goals last year, we exceeded them. Now we are back here again are setting these goals this year and help to do the same. And at the same time, this year, we're looking to reduce our spend. Part of that is because of the fact that we are substantially complete with our product development, some of the onetime or engineering type cost including the development that can be cost are now getting behind us. And we're maturing as a product, or maturing in the company. It's really excited now to kick in the idea and start scaling our products. And on top of that, keep on some of our momentum with wins in automotive and others. So pretty exciting year for us to look ahead for.
Suji Desilva: Yes, great progress and a great setup for the '25. And then my other question is on the OEM program and the ‘27 target for start of production. I just was curious, first of all, is that an L3 car program? And second of all, as you talked about $1 billion lifetime value, maybe 10-years straight line, is '26 the beginning of that contribution part of it? Or these were '27 early the first year, you'd get some kind of 1/10 of that sort of run rate beginning? What's the more realistic expectation?
Soroush Salehian: Yes, sure. Happy to maybe touch on the top 10 win here with the passenger program that we talked about. So as I mentioned on the call a little bit, we've been working with its OEM for quite some time now over the past year or two years. In the past year has been quite intensive, really extensive collaboration together. But before I dig into that, maybe we have to zoom out for a second. So you also -- you have to understand that this OEM has had significant experience with Time of Flight already, Time of Flight LiDAR and throughout their experience and lessons learned, they're now realizing what they need and what may be missing and ensure they're looking now to move past time-of-flight towards the FMCW technology. So given both the lessons learned, the challenges as well as the significant advantages they see that they can gain by going to FMCW. We think that's a win-win situation and importantly, a crucial signal for the passenger OEM space of what we think is to come as a major shift for the OEMs as they start of transition to FMCW-LiDAR technology. And we hope and we believe Aeva is going to play a key role for that as a leader in FMCW. Now together, we've done a lot of work since last year. They have a valid out technology firsthand on extensive real-world testing, on-road testing. We've talked about this over the past year or so, a few months. We have passed a number of audits, maturity as a directory of one supplier and done a lot of technical analysis, gone through thousand requirements together and gone through the final stages of our QW down -- we were down-flicted for, as we mentioned last year. So the culmination of all of that is what is the two kind of agreements that we talked about. One is the award by the top 10 passenger OEM for the development agreement. This is intended for developing a solution that fine tunes our Atlas Ultra product in a way that fits across their global production vehicle platform, which includes multiple lines of vehicles. And the work is effectively the kind of first phase of the production program and really focused on growing B sample development for us to be able to get them to use it across their lineup of vehicles. So this OEM has obviously serious vested interest and skin in the game with Aeva, as well as within our contribution to help make sure that we are successful. And in addition to that, the second piece is we have got a step beyond that with this top passenger OEM and have been able to secure a letter of intent from the OEM for a large-scale production program aboard this year, which we believe is a very strong indication of the OEMs plan for next generation as well as our collaboration together. So overall, we're feeling confident about that. I think the objectives and the milestones are clearly laid out, as I mentioned, we know what needs to happen. The team is laser-focused here right now and is understood what we need to do, and we have high confidence will to close it out together in the next number of months here. So that's what I would say about kind of our activities and kind of how we got here. But to answer your question about kind of timing and SOP, we have mentioned on this call and earlier today that our target for the Atlas Ultra SOP, which obviously ties into what we're talking about here is 2027, and we expect that from production ramp to market entry to follow that.
Operator: We will take our next question from Mason Wayne with Morgan Stanley.
Mason Wayne: Great, thanks guys. I just wanted to ask, given some of the additional wins and engagements, just how are you feeling about the level of cash right now? It looks like the cash burn last year was kind of similar to what's on the balance sheet today. Spending will be a little bit lower this year, but is there a cash number you feel comfortable operating the company at? Do you expect to be able to have to draw on that facility before we kind of start to get to scale over the next couple of years?
Saurabh Sinha: Hey Mason, this is Saurabh. So happy to answer that question. As I mentioned in my prepared remarks, our total liquidity available is $237 million, $112 million is on the book from the balance sheet and the remaining $125 million is in the form of an undrawn facility where the conditions to draw have been fully met and now does that management sold discretion to draw at any point in time. So we feel pretty good about our liquidity. It's a multiyear runway to take us all the way to production. And as you see that we are, while we are increasing revenues, we are decreasing cost. And as Soroush mentioned earlier in the call, that there are certain heavy lifts on the R&D front, particularly the silicon development, and maturity of the product, those activities are coming down, as you would expect, as you reach maturity. So we feel pretty good about it. We don't have any debt. And at the same time, we look at the whole ecosystem of LiDAR companies than others. We feel we're in a very good position from the balance sheet strength and the liquidity to execute on our plan and with more customers.
Mason Wayne: Okay, excellent. Thanks, and congrats on the progress.
Soroush Salehian: Thank you.
Operator: We will move next to Richard Shan with Craig Hallum.
Tyler Anderson: Hi, this is Tyler on for Richard. I was wondering, what is the general area that the top 10 OEM is located in for their headquarters? And in which geographies ex-China are they operating in? And is there any cadence to the different model ramps? Or any kind of way you could describe the size of this opportunity?
Soroush Salehian: Yes, yes. Happy to do that, Tyler. I think obviously, I have to be careful here. I think we just announced this, that we don't want to get ahead of ourselves too much. I can tell you, this is obviously a top 10 OEM, a super, obviously, well-known brand with global presence. I don't think I can tell you the exact quarters, but in general, I can tell you that they have significant business globally. What we see with this OEM is, as I mentioned, is they're making in the millions of vehicles per year. And they're importantly, really one of the top leaders in introducing new technology, right? So we think that, that combination, together with Aeva's ability to provide this really unique FMCW technology and along the way, really prove out as maturity and scalability is going to be a major win-win situation, not just for the two companies, but we also see this as an opportunity for us to jointly bring this technology to the passenger bill market, similarly to what we're doing with Daimler Truck on the commercial vehicle market. So we are really excited about that. Daimler, obviously is a leader in their respective commercial vehicle field. And we see that the opportunity here with this OEM also is to be in a leading position in the passenger vehicle field. So we're looking to work together and really build up that potential of the scale. As you alluded to the size. So as I mentioned on the call, millions of vehicles sold, we see the opportunity -- the production program to be across multiple vehicle model lines, we see that for some of these key model lines, we expect it to be as a standard future for LiDAR. So if people run the math, this potential opportunity would be quite massive, as I mentioned in the call to be amongst the largest in the industry. And we expect the size to be at least similar to what was the Daimler Truck program, which is the $1 billion-plus revenue opportunity. So we're really excited by this. But again, we see this as a stepping stone and not at all as a destination. And we're just getting started here in Q1. So looking forward to providing more updates as we go along.
Tyler Anderson: That's fair. And thank you for answering. I have one more for the manufacturing, is this enough to get you going for the next couple of years? Or does that need to be adjusted as we move forward into like end of '26th and beyond?
Soroush Salehian: Yes. So as we mentioned earlier, our goal is to probably see installed manufacturing capacity in the hundreds of thousand units to really be able to satisfy the demand that we see in the market from our customers. Our target this year is just to start this year for our manufacturing capacity install. But I can tell you that our line as is being installed is already able to go north of 20,000 as we install them and able to expand that. And that's something we already have plans for as we go around installing this manufacturing capacity. So our ability to produce at significant volumes for each. There's just one line is going to be crucial. And one of the reasons we can do that is actually because if you look at our system, what we have been able to do with Atlas and then Atlas Ultra is reduce the components that goes inside the LiDAR, let's say, if you compare it to in contrast it, but let's say, a typical LiDAR or a time-of-flight technology, you may have many tens or hundreds of components, modules where what we see with FMCW, what we have done at Aeva has been able to reduce that to a handful of key modules. And that significantly reduces the complexity of the product. We have had very positive feedback from the OEMs has contributed to some of the success that you've had so far. So some have even commented that this is going to reduce to the max in terms of complexity at the system level. So we see that opportunity to be able to really make this for us to make this fully automated is not going to be that much of a huge challenge for us. So that's why from the beginning of the design, we've been able to actually get the system-level complexity to a level where it's straightforward to be able to manufacture in automated fashion. All of that, what I'm saying is ability for us to increase our capacity system level is already in our plans, and it's something that we know how to do. And then our focus is on scaling our manufacturing and the module is silicon level to match that up which, obviously, that is something that is also a known quantity that we know how to do. So hopefully, that answers your question.
Operator: It appears we have no further questions at this time. This will conclude the Aeva Technologies fourth quarter and full-year 2024 earnings conference call. We thank you for your participation. You may disconnect at any time.